Operator: Thank you for standing by, ladies and gentlemen, and welcome to the Euroseas Conference Call on the Second Quarter 2025 Financial Results. We have with us Mr. Aristides Pittas, Chairman and Chief Executive Officer; and Mr. Tasos Aslidis, Chief Financial Officer of the company. [Operator Instructions] I must advise you that this conference is being recorded today. Please be reminded that the company announced their results with a press release that has been publicly distributed. Before passing the floor to Mr. Pittas, I would like to remind everyone that in today's presentation and conference call, Euroseas will be making forward- looking statements. These statements are within the meaning of the federal securities laws. Matters discussed may be forward- looking statements, which are based on current management expectations that involve risks and uncertainties that may result in such expectations not being realized. I kindly draw your attention to Slide #2 of the webcast presentation, which has the full forward- looking statement, and the same statement was also included in the press release. Please take a moment to go through the whole statement and read it. And now I would like to pass the floor to Mr. Pittas. Please go ahead, sir.
Aristides J. Pittas: Thank you. Good morning, ladies and gentlemen, and thank you all for joining us today for our scheduled conference call. Together with me is Tasos Aslidis, our Chief Financial Officer. The purpose of today's call is to discuss our financial results for the 3 and 6- month period ended June 30, 2025. Please turn to Slide 3 of the presentation for our quarterly financial highlights. For the second quarter of 2025, we reported total net revenues of $57.2 million and a net income of $29.9 million or $4.29 per diluted share. Adjusted net income for the quarter was $29.2 million or $4.20 per diluted share. Adjusted EBITDA for the period stood at $39.3 million. Please refer to the press release for a reconciliation of adjusted net income and adjusted EBITDA. Our CFO, Tasos Aslidis, will go over our financial highlights in more detail later on in the presentation. The company has declared a quarterly dividend of $0.70 per share for the second quarter of 2025, which will be payable on or about September 16, 2025, to shareholders of record as of September 9. This reflects a $0.05 increase or approximately 7.7% growth in the quarterly dividend payout compared to the $0.65 per share distributed in the first quarter. This highlights our confidence in Euroseas' operating strength and sustained cash flow generation. At the current rate, the increase to $0.70 per share corresponds to an annualized dividend yield of about 5.5%, which we believe is attractive and competitive within the containership sector, reflecting our ongoing commitment to deliver value to our shareholders. Based on our charter coverage, we are very confident that our current dividend yield may be maintained comfortably for the next couple of years at least. Since initiating our share repurchase plan of up to $20 million in May 2022, we have repurchased 463,000 shares of our common stock in the open market for a total of about $10.5 million as of August 13, 2025. We will continue to utilize our repurchase program in a disciplined manner as our management team may decide that enhances our long-term shareholder value. Moreover, we are excited to announce the publishing of our 2024 ESG report, which is available on our website under the Sustainability section. This is the fifth consecutive year that we've published such a report. We are pleased to say that we feel the whole office is taking pride in our developments on all aspects of ESG and that the various KPIs we use to monitor our performance are mostly showing positive signs. Please turn to Slide 4, where we discuss our recent developments, including an update on our sales and purchase chartering and operation highlights. During the quarter, as already announced in May, we agreed to sell our motor vessel Marcos V for $50 million with delivery within October. Whilst we continue to have faith in the market, the price offered was simply too good to resist. The proceeds from the sale will thus eventually be used to further renew the fleet with younger vessels. Also at the start of June, we were able to charter our motor vessel Emmanuel P for 3 years at a highly profitable level of $38,000 per day. On the operations side, there were certain planned repairs for motor vessel Evridiki G and motor vessel EM Corfu, which resulted in off-hire periods of approximately 12.5 and 10 days, respectively. This upgrading work was deemed necessary for our 2 elder vessels to be able to seamlessly perform the very lucrative charters that we agreed upon during Q1. The fleet experienced no other idle periods or commercial off-hire during the quarter. Please turn to Slide 5. Here, you can see that the company has a fleet of 22 vessels, including 15 feeder container ships and 7 intermediate container ships with a cargo capacity of approximately 67,000 TEU and an average age below 13 years. As already disclosed, we expect the delivery of our 2 intermediate containership newbuildings in the third and fourth quarter of 2027, each with a capacity of 4,300 TEU, which will further increase the size and reduce the average age of our fleet. Please turn to Slide 6 for a further update on our fleet employment. We continue to benefit from the strong forward coverage we have achieved. For 2025, very close to 100% of the company's available days have already been secured at an average rate of approximately $28,000 per day. Looking ahead into 2026, approximately 67% of our available days have been fixed at an even higher average rate of $31,600 per day. As can be seen on the chart, we only have one vessel opening up for the charter within the year, and we are optimistic that this will be affected at a very satisfactory rate too. Moving on to Slide 8. We go over the market highlights in general for the second quarter of 2025. In the second quarter of 2025, 1- year time charter rates continued to strengthen during the quarter, supported by limited vessel availability and sustained demand, particularly in the smaller segments. In the feeder segment, rates rose by 8% in the second quarter of 2025 compared to the first. Market activity was primarily concentrated on contract extensions that were concluded at or above prior benchmarks, a trend that carried over into July and has continued through the first weeks of August. New contracts remain fairly limited, primarily due to lack of vessels. As we move through the second half of 2025, the operating environment remains complex and volatile. Geopolitical tensions and ongoing conflicts continue to disrupt trade patterns while protectionist measures may create further inefficiencies. These dynamics have reshaped global flows and the level of uncertainty remains elevated. Consequently, forecasting the market is indeed particularly challenging. Average secondhand price index rose by about 4% in the second quarter of 2025 compared to the first, supported by limited vessel supply and ongoing competition among buyers looking to expand their fleet. The newbuilding price index remained stable in the second quarter. Demand for newbuildings remains firm despite heightened market uncertainty stemming from the geopolitical tensions and the threat of even more tariffs. Notably, Korean and Japanese shipyards have begun to command higher pricing relative to their Chinese counterparts, probably due to U.S. trade measures and fees recently imposed on Chinese shipyard. Meanwhile, the idle fleet, excluding vessels under repair has continued to shrink, standing now at a negligible 150,000 TEU as of the end of July, representing just 0.5% of the global fleet. This marks a significant decline from the peak of 850,000 million TEU that was observed in February 2023. In parallel with the strong market, recycling activity also remains subdued with just 8 vessels totaling 4,000 TEU sent for demolition year-to-date. Scrap prices have eased slightly to $430 per lightweight ton as of August 8, 2025 in parallel with lower steel prices generally. And last, the global containership fleet has already expanded by 4.1% year-to-date. Please turn to Slide 9 for our broader market overview, focusing on the development of 6 to 12 months time charter rates over the past 10 years. As illustrated in the graphs on this slide, containership charter rates extended the growth trajectory through the second quarter of 2025, standing comfortably above the 10-year average median rates, underpinned by constrained vessel availability and sustained demand strength across all segments. Please turn to Slide 10. The IMF July 2025 update presents a slightly more resilient global economic outlook than the previous report together with global trade developments continuing to dominate the forecast development. The global economy continues to exhibit stable yet underwhelming growth. Global GDP growth is projected at 3% for 2025 and 3.1% for 2026 with the 2025 and 2026 projections revised upwards by 0.2% and 0.1%, respectively, compared to the April 2025 reference forecast. At these levels, the forecasts are below the 2024 outcome of 3.3% global GDP growth and the pre-pandemic historical average of 3.7%. Global policy remains highly uncertain. Trumps' new tariffs took effect on Tuesday, August 7, with higher rates for most U.S. trading partners, but some are still to be decided upon. Taken all together, these tariffs have pushed the average U.S. tariff rate to 15.2% according to Bloomberg Economics, well above the 2.3% last year and the highest -- and this is the highest level since World War II. The short-term impact of this change, however, will probably not be huge. The United States economy is projected to grow by 1.9% in 2025 and accelerate slightly to 2% in 2026 according to the IMF. U.S. growth forecast were revised upwards due to the easing trade tensions, improved financial conditions, the weaker dollar and the recent tax incentives aimed at stimulating business investment and consumer spending. In Europe, GDP accelerated driven by investment and net exports. Growth in the area is now predicted at 1% for 2025, up 0.2 percentage points from April projections. However, many European countries continue to face subdued domestic demand, manufacturing weakness and the lingering effects of the energy shock. Global inflation is expected to continue declining with headline inflation projected to fall to 4.2% in 2025 and 3.6% in 2026. In the euro area, inflation has gone down significantly. But in the U.S., it is still elevated as unemployment rate remains low. Emerging markets remain the primary drivers of global growth. India, for example, is forecast to expand by 6.4% in both 2025 and 2026, fueled by strong investment, robust agriculture and a dynamic services sector. The emerging 5 countries are also projected to post healthy growth. Also in China, growth has been revised upwards, driven by stronger-than-expected economic performance in the first half of the year, longer-than-anticipated tariffs between the U.S. and China at least today and the positive impact of fiscal stimulus reforms aimed at clearing local government arrears, which have all boosted domestic demand. Turning to the containership demand outlook. Clarkson's latest estimates as of July 2025 project container trade to grow by 2.7% in 2025. This upward revision reflects the assumption that the Red Sea disruptions will persist in the near term, resulting in longer voyage distances and increased ton mile demand. For 2026, Clarkson assumes fading of these effects, projecting a contraction of 3%. Should rerouted volumes return to the Suez Canal, voyage distances will shorten despite underlying cargo volumes remaining relatively stable. Turning on to Slide 11, you can see the total fleet age profile and containership order book. The containership fleet is relatively young with most vessels under 15 years old and only 12% of the fleet over 20 years old. Delivery as a percentage of total fleet stands at 7% for 2025, 5% for 2026, 7.5% for 2027 and 13% for 2028 onwards. As of August 8, 2025, the order book stands at 30.7% of the existing fleet, reflecting the ongoing wave of newbuilding activity across the sector. Turning on to Slide 12, however, we take a look over the fleet age profile and order book for ships in the 1,000 to 3,000 TEU range only, the sizes we mostly operate in. The order book here stands at just 5.4% as of August 2025, a completely different picture as you can see in the overall order book. According to Clarksons, newbuilding deliveries for feeder containerships are expected to remain limited over the coming years. In 2025, deliveries in this segment are projected to amount to 2.12% of the total fleet only. This already modest delivery schedule is expected to slow further to 1.5% in 2026, followed by 2.5% in 2027. A similar positive pattern also holds for vessels in the 3,000 to 6,000 TEU range. Now let's move to Slide 13, which shows the different supply fundamentals across the various containership sizes. As you can clearly see, the global order book remains heavily concentrated on the large vessels servicing main lane routes with significant capacity growth expected there. However, feeder and intermediate vessels, which are essential for regional distribution, face a very different supply outlook. Their order books are extremely limited and the existing fleet is relatively old with a large percentage of vessels over 20 years of age. These aging units are prime scrapping candidates in the softening market, particularly as environmental regulations tighten. As a result, it is quite possible that the fleet capacity for feeder and intermediate containerships will actually decline even as the overall containership fleet continues to grow. This evolving supply backdrop supports a structurally tight market in our operating segments with favorable implications for vessel utilization and charter rates. Turning on to Slide 14. For the remainder of 2025, the rerouting away from the Red Sea is the major factor affecting the market. The other factor that may also have a significant impact, as already said during the year, is, of course, the U.S. administration's packages that mostly took effect last week, but we still have things to see there. Following two attacks on cargo ships in the Red Sea in early July by Yemen's Houthi rebels fears of further escalation have delayed any meaningful return to the Suez route. As a result, a revised assumption is that the routing persist through the end of 2025 with the first possible reversal sometime in 2026. With the implementation of the new U.S. tariffs following further negotiation with key trading partners ranging from 10% to 50% depending on product, environment trade flows could be disrupted further. At the moment, we expect the impact of global GDP and demand to remain relatively muted though. Against this backdrop, we therefore anticipate time charter rates to remain exceptionally strong for the remainder of 2025. Looking into 2026, market conditions will depend primarily on the status of geopolitical and economic events. Should the passage through the Suez Canal remain restricted, we expect the market to hold firm with only a modest decline. However, a faster-than-expected reopening could prompt a more pronounced market correction. Meanwhile, containership ordering activity continues to accelerate, further inflating an already elevated order book and posing longer- term supply challenges from 2027 onwards. Energy transition is gaining more and more traction in the sector with a clear industry shift towards alternative fuels and in particular, the medium-term solution of LNG. Most newbuilding orders encompass at least an LNG-ready option. That said, technical and economic headwinds are expected to keep the pace of adoption slow. Eco-efficient vessels are, of course, increasingly commanding a charter rate premium as charters and regulators intensify the focus on emissions compliance and sustainable transport solutions. The recent shift in U.S. energy policy under the current administration marked by a more fossil fuel stance is likely to delay but definitely not derail the overall transition. Now please turn to Slide 15. The left-hand side slide graph shows the 1-year time charter rate for 2,500 TEU containerships over the past 10 years. As of August 8, the 1-year time charter rate for these containerships stood at just about $35,000 a day. While below its recent peak, this level remains exceptionally high and is well above both the historical average and median. In parallel, newbuilding and secondhand vessel prices have also risen over the past year and remain significantly above their long-term historical averages too. We have a significant amount of free liquidity, which we are constantly evaluating how to best use. We are returning part of this to our shareholders through our dividend and our stock repurchase plan. We are committed to offering our shareholders a good dividend through both good and bad times. And therefore, we are maintaining necessary reserves to cater for a possible downturn. At the same time, we are keeping most of our costs available to help grow the company further. In this environment of extremely high prices and similarly high charter rates, we are not thinking of buying secondhand vessels unless we can simultaneously secure charter rates that will bring the residual value of the vessel at the end of the charter to a medium level. This is proving difficult to find though. Newbuilding prices have also increased substantially during the last 5 years. However, we feel this is a structural increase that will be very difficult to reverse. Prices will probably not grow at least significantly. We are therefore seriously considering options along this front. And with that, I will pass the floor to our CFO, Tasos Aslidis, to go over our financial highlights in further detail.
Anastasios Aslidis: Thank you, Aristides. Good morning from me as well, ladies and gentlemen. As usual, I will use the next 4 slides to give you an overview of our financial highlights for the second quarter and first half of 2025 and again compare them to the same period of 2024. For that, let's turn to Slide 17 to review our results for the second quarter of 2025. During the quarter, the company reported total net revenues of $57.2 million, representing a small decrease of 25% of the total net revenues of $58.7 million during the second quarter of 2024. The company reported a net income for the period of $29.9 million as compared to net income of $4.75 million for the same period of 2024. This was the result of a gain on the sale of a vessel recorded during the same period of last year and the lower time charter rate of vessels earned in the second quarter of 2025 compared to the previous year -- the same quarter of the previous year, partly offset by the increase in the average number of vessels owned and operated during the second quarter of this year compared to last year. Total interest and other financing costs for the second quarter of 2025 amounts to $4 million compared to $2.1 million for the second quarter of 2024. Capitalized interest charged on the corporate newbuilding program was $1.4 million for the second quarter of 2024 and that was the reason that we recorded lower interest expense taking into account the fixed interest income. This increase -- part of the increase was in addition to that is due to the increased amount of debt repaid in the current period over the same period of last year. Adjusted EBITDA for the second quarter of 2025 was $39.3 million compared to $42.3 million achieved during the second quarter of 2024. Basic and diluted earnings per share for the second quarter of this year was $4.32 and $4.29 calculated on about 6.9 million and 7 million diluted weighted average number of shares outstanding compared to basic and diluted earnings per share of $5.89 and $5.84 respectively for the second quarter of 2024, again calculated on 6.9 million and 7 million weighted average number of shares outstanding. Excluding the effect on the income of the unrealized losses due to the amortization of below market time charters acquired and the portion of the vessel depreciation allocated to the below market charters, the adjusted earnings per share for the quarter ended June 30, 2025, would have been $4.23 basic and $4.20 diluted compared to adjusted earnings of $4.95 and $4.92 basic diluted respectively from the same quarter of last year. With the later figure still including the recording of deferred revenues that we had to record due to rate averaging and so we had to recognize as a result of the charter of the relevant vessels being treated. Let's now look at the numbers for the corresponding 6 months period ended June 30, 2025, and compare it to the same period of last year. For the first half of 2025, we reported total net revenues of $113.6 million representing a 7.7% increase of the total net revenues of 105.4 million during the first half of 2024. We reported net income for the period of $66.8 million with a marginal difference of an increase over the $60.8 million for the first half of 2024. Total interest and other financing costs for the first half of 2025 amounted to $7.9 million, capitalized interest charges on corporate newbuilding program was $4 million for the first 6 months of 2025, for the same period of 2024, interest and other financing cost amounted to total $3.9 million which was inclusive of capitalized interest charged for finance and newbuilding program with recorded fixed interest income of $2.7 million for the same period of 2024. Adjusted EBITDA for the first half of 2025 was $76.4 million compared to $63.9 for the same period of first half of last year. Basic and diluted earnings per share for the first half of 2025 were $9.53 and $9.60 respectively calculated once again 6.9 million and 7 million calculated on the diluted weighted average number of shares outstanding compared to basic and diluted earnings per share of $8.37 and $8.71 respectively for the same period of last year. Again, excluding the effect of income for the first half of the year of the unrealized loss/gain on derivatives, the gain outstanding on vessel and the amortization of below market charters, the adjusted earnings per share for the first 6 months of this year would have been $7.99 basic and $7.97 diluted compared to adjusted earnings per share of $7.63 basic and $7.57 diluted for the same period of 2024. Now let's turn to Slide 18 to review again as usual, our fleet performance. We'll start our review by looking at our fleet utilization rate for the second quarter of 2025 and 2024. Our fleet utilization rate is broken down into commercial and operational components. During the second quarter of both years, our commercial utilization rate stood at 100%, while our operational utilization rate was also similar in both quarters and stood at 99.9%. On average, 22 vessels were owned and operated during the second quarter 2025 at an average equivalent rate of $29,420 per day compared to 21.6 vessels for the same period of last year at an average of $31,639 per day. Our total utilization including management and G&A expenses, but excluding drydocking costs were for the second quarter of 2025 $7,944 per vessel per day compared to $7,193 per vessel per day for the same period of last year. If we move further down on this table, we can see the cash flow breakeven rate, which also takes into account drydocking expenses, interest expenses and loan repayments. That in total for the second quarter of 2025, our daily cash flow breakeven revenue was $13,262 per vessel per day compared to $13,698 per vessel per day for the second quarter of the year before. Let us now review the same figures for the 6-month period for both years. During the first half of 2025, our commercial utilization rate was 100%, our operational utilization rate stood at 99.6% compared to 99.9% commercial and 99.9% operational for the same period of 6 months of 2024. During this period, so the 6 months period of 2025, we operated 22.83 vessels at an average daily charter run rate of $28,468 per day while for the same period, the first 6 months of 2024, we operated 28.43 vessels at an average of $29,836 per day. Again our operational expenses including management fees and G&A expenses but not drydocking were $7,454 per day in the first half of this year compared to $7,563 for the same period of 2024. And again, moving further down in the table our capitalization revenues for the first 6 months of 2025 was $13,164 per vessel per day compared to $15,372 per vessel per day mainly the result of lower loan repayments of vessels during this year. At the bottom of the table we can also see how our common dividend translate on a dollar per vessel per day basis. And you can see that during the second quarter of 2025 that amounted to $2,275 vessel per day, while for the first 6 months of 2025 that amounted to $2,196 per vessel per day for the dividend payments. Moving on to Slide 19, to review our debt profile. As of June 30 of this year, our total outstanding debt stood at $229.4 million with an average margin of approximately 2%, of which SOFR rate of about 4.23%, the overall cost of our senior debt is around 6.24%. In fact, a bit lower because of our debt -- the cost of our debt is swapped at the lower SOFR rate. So the overall cost of our debt on average is below 6.2%. Remaining loan repayments for 2025 amounts to about $10.8 million following the loan repayments of almost $30 million already in the first half of the year during which we actually repaid the balloon of a loan that matured. With these repayments, our debt at the end of the year will be $218.6 million. In 2026, we anticipate to make loan repayments of about $19.5 million with no balloon payments used while in 2027, we anticipate to make $16.9 million loan repayments alongside about $20 million of balloon payments, resulting in total payments in 2027 of $36.9 million. You can see the loan repayment for the outer years in this chart that we have on the slide. I would like to draw your attention to the bottom of this table of this slide where we present our cash flow breakeven level for the next 12 months broken down by its components. Overall, we expect a cash flow breakeven level of approximately $12,000 per vessel per day, a level meaning below the current daily earnings of our fleet. In information on our balance sheet and asset values is shown on Slide 20, the last slide of my brief presentation of the financial results. As of June 30, our cash and other current assets in our balance sheet amounted to $126.8 million, while we have made advances for the newbuilding vessels of $18.1 million and hence the book value of our fleet on our books is $517.3 million, including in this figure the vessel that we have agreed to sell at the end of final charter. Our overall book value of our assets stood at the end of June at $662.1 million. On our liability side, as I mentioned earlier, stood at $229.4 million as of June 30, representing about 35% of the book value of our assets with our other liabilities amounting to about $30 million, thus leaving us with a book equity of a little more than $400 million or about $57.5 per share. It's also important to mention here, as a result, the market value of our fleet adjusted for the charters currently is significantly higher than its book value and is in the range of $680 million based on our own estimates. If you recall, the book value was $517 million. That as of the end of June, we estimate the total adjusted net asset value of our company to be around $565 million, resulting in a net asset value per share in excess of $80. Despite our stock trading at higher levels during the last several weeks of around $50 per share, this level still represents a significant discount of 35% to 40% to our net asset value and that despite -- that happened despite our revenue and earnings visibility making it evident that our stock will still offer further upside potential and prospective gains for our shareholders and investors. With that, I'd like to turn the floor back to Aristides to continue the call.
Aristides J. Pittas: Thank you, Tasos. Let me open up the floor for any questions we may have.
Operator: [Operator Instructions] Our first question comes from the line of Tate Sullivan with Maxim Group.
Tate H. Sullivan: With most of your days contracted for a year -- more than a year, I'm looking at the potential variability in the results. Do any of your containership contracts have different rates based on the voyage or are they all fixed regardless, please?
Anastasios Aslidis: I think they're all fixed. All our contracts are fixed rate contracts.
Tate H. Sullivan: Okay. And no dependability on the voyage. Okay. And then on the planned sale of one of your ships and if you do decide to sell other ships in a good market, are there any trends in terms of the potential buyers? Are they from specific countries or specific entities? And have you disclosed the buyer of the ship, please?
Aristides J. Pittas: The buyer of the ship is MSC. They are, as you know, the biggest buyer around over the last few years buying older ships. I don't anticipate that we will be selling anything else within this year. You never know, obviously. But we have fixed all the vessels and I don't think we will be selling anything else.
Operator: [Operator Instructions] Our next question comes from the line of Mark Reichman with NOBLE Capital Markets.
Mark La France Reichman: Always nice to see another strong quarter. I just had a few questions. The feeder and intermediate containership segments have small order books. You've mentioned the fleet is relatively old and the shift towards adopting new fuels remains slow. So how are you thinking about your fleet in terms of growth in the number of intermediates versus feeders and newbuilds versus secondhand? I think you've mentioned you're not really interested in secondhand, but just kind of interested in your thoughts there.
Aristides J. Pittas: Yes, sure. We don't -- I mean, we would buy 10, 15-year-old vessels if we could find a suitable charter that would bring the residual value down at the end of the charter. But this is something that we have been trying to do and without much success because the asking prices of the ships are too high. So I think it's rather difficult that we invest now in ships that are in the water currently. We like both sectors, the feeder sector and the intermediate sector. The dynamics are very, very similar, order books of below 7%, 8% and ships over 20 years old in excess of 20 years -- of 10%. So the dynamic is very nice over there. We look at potential projects, and we will see how we will move ahead.
Mark La France Reichman: Do you think the supply-demand characteristics for these segments provide a relatively high level of durability to the rate outlook despite the uncertainties that you mentioned?
Aristides J. Pittas: It provides some durability. I mean we all know that the cascading effect is quite significant with container ships, which means that if the rates for the bigger ships drop substantially, we would naturally expect to see a drop in the smaller vessels as well. However, we do feel that the supply-demand fundamentals offer some significant protection against as severe drops as may happen.
Mark La France Reichman: Okay. And then just the last question was the drydocking expenses were $3.5 million for the first 6 months of 2025. But based on the information on Slide 19, is it fair to say that drydocking activity will be light over the next 12 months?
Aristides J. Pittas: Yes.
Anastasios Aslidis: Yes. I think so. I think we had 2 vessels that drydocked in the first part of the year. And I think our schedule is lighter for the next 6 or 12 months.
Operator: [Operator Instructions] Our next question comes from Clement Molins with Value Investor's Edge.
Climent Molins:
Value Investor's Edge: Most has already been covered, but I wanted to ask whether you have any plans on what to do with the proceeds of the sale of the Marcos V. Could you comment on potential avenues to allocate that capital? Could special dividends be in the cards? Or would you prefer to make a debt prepayment or allocate it towards the newbuild on order?
Aristides J. Pittas: We are considering the various options. The vessel will be delivered within October. And we are looking at various options. We will let you know more when we next talk.
Anastasios Aslidis: Yes. I think our Board will meet sometime in November, and we'll make a decision on how those proceeds will be best utilized among the options you mentioned.
Operator: And we have reached the end of the question-and-answer session. I would like to turn the floor back to Mr. Pittas for closing remarks.
Aristides J. Pittas: Thank you very much all for attending our today's call, and we will be back with you in 3 months' time.
Anastasios Aslidis: Hoping to deliver similarly good results.
Aristides J. Pittas: Probably. Thank you.
Anastasios Aslidis: Bye, everybody.
Operator: Thank you. And this concludes today's conference, and you may disconnect your lines at this time. Thank you for your participation.